Operator: Ladies and gentlemen, greetings and welcome to the Marcus & Millichap’s First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Evelyn Infurna. Thank you. You may begin.
Evelyn Infurna: Thank you. Good afternoon, and welcome to Marcus & Millichap’s first quarter 2018 earnings conference call. With us today are President and Chief Executive Officer, Hessam Nadji; and Chief Financial Officer, Marty Louie. Before I turn the call over to management, please remember that our prepared remarks and responses to questions may contain forward-looking statements. Words such as may, will, expect, believe, estimate, anticipate, goal and variations of these words and similar expressions are intended to identify forward-looking statements. Actual results could differ materially from those implied by such forward-looking statements due to a variety of factors, including, but not limited to, general economic conditions and commercial real estate market conditions; the company’s ability to integrate new agents and sustain its growth and other factors discussed in the company’s public filings, including its Annual Report on Form 10-K, which was filed with the Securities and Exchange Commission on March 16, 2018. Although the company believes the expectations reflected in such forward-looking statements are based upon reasonable assumptions, it can make no assurance that its expectations will be attained. The company undertakes no obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise. In addition, certain of the financial information presented on this call represents non-GAAP financial measures. The company’s earnings release and earnings conference call presentation, which was issued this afternoon and is available on the company’s website, presents reconciliations to the appropriate GAAP measures and explanations of why the company believes such non-GAAP measures are useful to investors. Finally, this conference call is being webcast. The webcast link is available on the Investor Relations section of our website, www.marcusmillichap.com, along with a slide presentation you may reference during the prepared remarks. With that, it is my pleasure to turn the call over to Hessam.
Hessam Nadji: Thank you, Evelyn. On behalf of the entire Marcus & Millichap team, good afternoon, everyone, and thank you for joining our first quarter 2018 earnings call. We began the year on a positive note. Our expanded client outreach and marketing initiatives over the past year along with investments in brokerage tools and infrastructure generated steady improvement in our results. These countermeasures to heighten market uncertainty and interest rate volatility culminated in total revenue growth of nearly 14% for the first quarter and 16% in brokerage revenue, with improvements across all market segment. These efforts reflect the agility and expertise of our team and helping clients exceptionally navigate through changing market condition and a hallmark of our value-added brokerage model throughout our 47-year history. Investor sentiment was much improved during the first quarter due to solid economic performance and the passage of the new tax law in December of 2017. Commercial real estate investors continue to perceive the new law as favorable. At the same time, the 50 basis point rise in interest rate and persistent bid/ask spread kept sales transactions in the market flat to modestly higher during the quarter, as reported by RCA. We believe this also points to additional share gains for MMI, as our total transactions grew 6% and private client transactions grew 4.2% in the first quarter. In our view, the market does not yet fully reflect the benefits of improved investor psychology and positive aspects of the new tax law for commercial real estate. Answers to tax treatment question in specific areas are slowly emerging, which we expect will gradually lead to more capital formation and buyer demand throughout the year. This, coupled with steady economic growth and still-healthy profit fundamentals, should counter rising interest rates to a high degree. Taking a closer look at the quarter, our brokerage sales volume rose nearly 22% on a year-over-year basis, which was largely due to gains in our mid-market and larger transactions. Brokerage sales volume in these segments grew 34% and 48%, respectively. These results were supported by numerous internal growth initiatives led by our specialty executives, as well as a marked improvement in larger investors’ appetite for transaction. It is also a function of higher sales variability, particularly in larger transactions, which had a significant decline in the first quarter of 2017 and gradually improved throughout the year. As we look to diversify our market coverage and revenue in various niches and larger sales, we remain steadfast in maximizing further growth in our private client business. This vital segment accounted for 65% of our revenues and 74% of brokerage transactions during the quarter. The Marcus & Millichap platform is well aligned with a broader marketplace, with private client transactions accounting for 84% of all sales consistently. Over the past year, we steadily grew share in this segment by an estimated 40 basis points and we are now approaching 9% by far the highest market share of this segment in the industry. This includes progress in private client office and industrial sales, both of which give us plenty of growth opportunity ahead. In fact, in 2017, Marcus & Millichap was the number two broker of office sales in the $1 million to $10 million price range, and number three for sales under $20 million. Another noteworthy trend for the quarter was a decline in refinancing activity, which was driven by higher interest rates, less of a preference for recapitalization and lower maturing loan volume. Our financing revenue declined 3.3% in the first quarter as a result of these factors. To some degree, this was also due to a natural lack time needed to rebuild our financing pipeline on the heels of a record fourth quarter, when financing revenue grew 23%. Our strategy of reconfiguring our financing team with more experienced professional continues and will temporarily result in headcount reduction, as we have indicated before. Having added a number of experienced professionals over the past 18 months, it is clear that this recruiting process takes longer, but it is proving to be the right strategy for us. Our expanded lender relationships, particularly our program with ReadyCap and PGIM have have also been affected and continue to gain traction. Last but not least, on the financing front, we are continuing with the process of selecting a new head of business for MMCC to succeed Bill Hughes, who will be retiring. As a reminder, Bill is fully engaged in supporting our loan originators and clients and will remain so throughout this transition. As we indicated on our last call, we’re being even more selective than usual on the hiring and retention of new brokers. This is a function of the extended the ramp-up time for new brokers required in a maturing cycle with more complex market dynamics. In addition, hiring and retention of talent is more challenging in a low unemployment economic environment. Therefore, our headcount trends will have more volatility in the next several quarters, but our goal of continually growing the sales force with the right individuals remains intact. As in past five cycles, our managers are relying more heavily on mentorship programs, sales internships and intensified training to grow the sales force and help our team succeed. Over the past 12 months, we’ve added 40 investment sales brokers and continue to have success in recruiting experienced professional. Let me now turn to the market environment. We remain positive about the broader economic outlook notwithstanding concerns about potential trade dispute. Evidence is starting to show that lower corporate taxes are not only boosting earnings, but may spur additional investments in facilities, equipment and growth-oriented projects by companies. In fact, non-residential investment was up nearly 9% in the first quarter, the highest since 2014. This should help extend job creation and the economic expansion. Occupancies continue to be solid across the industry with overbuilding limited to luxury apartments, industrial and self-storage in specific metros. We see no major factors disrupting the supply demand balance for the industry in the foreseeable future. This has been pointed out before and widely covered by the media, but it can become somewhat overlooked as a compelling reason, U.S. commercial real estate remains an attractive investment alternative globally. On the capital markets front, the increase in interest rates to four-year highs clearly showing up in a persistent bid/ask spread. So far, lender spreads have come in and helped limit the rise in actual borrowing costs to some extent. With our unemployment now at 3.9% and concerns of rising inflation, the Fed will likely stay on the tightening path, pushing cost of borrowings higher. The combination of healthy fundamentals, steady employment gains, lack of overleveraging and rent growth are positive factors offsetting rising debt cost. As I mentioned, the benefits of the new tax law should also gradually result in more capital flows and CRE sale. The bottom line in terms of transaction activity is the speed at which the market absorbs all of these dynamics with a reasonable price adjustment. On that note, we continue to see rationally priced assets generate multiple offers willing lenders an expeditious closing. We believe the market sales trend is headed in a positive direction, but growth would likely be gradual. We are well-positioned to continue to growing market share and revenues albeit at a more tempered base, given the sequential improvements we achieved last year starting in the second quarter. Our management team continues to lead marketing campaigns, investor symposiums and local client outreach programs to increase inventory and help our sales force act as the largest pool of buyers across the firm. Before I turn the call over to Marty, let me update you on our capital plan. Since our last call, we’ve taken additional steps in evaluating acquisition opportunities as our top capital allocation priority and are finding that valuation expectations continue to become more reasonable. As such, we believe being positioned to pursue what may be a window of expanded opportunity in an evolving M&A market is critical, given the positive effect of strategic and accretive acquisitions on maximizing shareholder returns. To this point, I’m pleased to announce that MMI has entered into a definitive agreement to acquire Pinnacle Financial Group, one of the largest privately-owned and highly regarded commercial mortgage brokerage and servicing companies in the Midwest. Based in Cleveland, Ohio, Pinnacle is a 28-year old 17% company, that will originate loans in virtually all commercial real estate property types with particular strength in multifamily, retail, office and industrial. Pinnacle also provides mortgage servicing for lenders, including life insurance companies, pension funds and CMBS. The integration of Pinnacle’s highly experienced team into our financing division, MMCC, builds an immediate service gap throughout our three Ohio-based offices and parts of the Midwest. Our sales force will benefit from synergies and gain crossover business opportunities, given Pinnacle’s longstanding relationships with major owners and lenders. In addition, Pinnacle’s life insurance correspondent relationships and the loan servicing capabilities will open up business opportunities for our existing senior level MMCC professionals, who’ll be able to collaborate with Pinnacle as part of our national platform. We are excited to have the Pinnacle team join MMI, as their business philosophy, client-centric culture and outstanding reputation are well aligned with our value. The team will be based in our Cleveland office and we anticipate the acquisition closing by the end of the second quarter. Pinnacle is a great example of how M&A opportunities can expand our business and we are encouraged by our current dialogue with additional investment sales and financing targets. We continue to evaluate various aspects of our capital allocation plan, including appropriate options and strategies for returning capital to shareholders with a priority being the pursuit of M&A opportunity. Let me emphasize that we remain vigilant on valuation, given the maturing real estate cycle, as our acquisition focus is driven by quality, not quantity. And last but certainly not least, let me reiterate management’s unwavering focus on the fundamentals of our business and optimal operations of the company. We strive each day to achieve the best results for our clients and provide the best support tools and training to our brokers. I will now turn the call over to Marty to discuss results in more detail. Marty?
Martin Louie: Thanks, Hessam. Total revenues in the first quarter increased 13.9% year-over-year to $175 million, primarily due to revenue growth from our real estate brokerage solutions, which grow 16% to $163 million, driven by strong performance in all market segments. Our real estate brokerage business accounted for 93% of our total revenues during the quarter. Revenues from our larger transaction market segment grew 47%, as compared to the 40% decline during the same period last year. The mid-market business had a strong quarter as well, growing 42% on top of the 12% increase in the prior year. Lastly, our Private Client Market segment grew 6% on a year-over-year basis. Overall, performance was encouraging when compared to a market that was flat to modestly higher in previous year. Total sales volume for the quarter increased 15% on a year-over-year basis to $9.8 billion, supported by strong sales in multifamily, hospitality, industrial, as well as storage. The market was particularly challenging for these property types during the first quarter 2017, and this year’s volume increase was also elevated by gains in our mid-market and larger business segment. Revenue from financing fees generated by MMCC fell roughly 3.3% to $9.7 million for the quarter, reflecting an 18% decline in refinancing fees, partially offset by purchase-related financing fees increasing 7%. As Hessam discussed, our mix of purchase and refinancing fees mirrors the current market dynamics of an active sales environment. Now the revenue comprised primarily of consulting and advisory fees along with referral fees from other real estate brokers down 24% to $2.3 million in the first quarter. Total operating expenses for the first quarter were $151 million, that’s nearly 13% year-over-year. The increase was due to higher cost of services, SG&A and depreciation and amortization. Cost of services increased 13.4% year-over-year and as a percent of total revenues came in at 58.2% to slightly under last year’s rate. As a reminder, this expense is primarily comprised of commissions paid to the company’s investment sales professionals and compensation-related to financing activity. First quarter’s SG&A increased 11% year-over-year to $48 million, due to the following factors. First, higher cost associated with our sales recognition programs related to 2017 performance. As a reminder, the majority of our sales recognition programs typically takes place during the first quarter. Secondly, higher sales support and compensation-related cost. The increased compensation is primarily reserves for managers, performance-based bonus and directly correlated with the company’s strong first quarter’s results. Third, higher stock-based compensation expense primarily due to fluctuations in our stock price. And lastly, cost associated with office lease renewals and space expansion in key strategic markets. For the first quarter of 2018, net income was $18 million, or $0.46 per share, compared to $12 million, or $0.31 per share in 2017 for an increase of roughly 50%. Our tax rate for the quarter was 25.9% as a result of the new tax law versus 38.5% last year. For an apples-to-apples perspective, adjusting last year’s results for the lower tax rate, net income would have increased nearly 25%. Adjusted EBITDA increased by 22.3% to $27.4 million during the quarter. Our adjusted EBITDA margin for the first quarter increased 110 basis points to 15.7%. The expense leveraging we expected to resume in 2018 is starting to manifest as we have executed the majority of the increased investments in key areas we have been discussing with you over the last two years. These include facility, broker support, development and support cost related to proprietary technology and other technology infrastructure, all of which are essential to keeping MMI competitive. From a balance sheet perspective, Marcus & Millichap is well-positioned to continue to grow its business organically and to pursue selective acquisitions. Our liquidity levels are very healthy ending the quarter with cash and core cash investments of approximately $293 million. As mentioned earlier by Hessam, M&A is our priority for the use of the company’s capital, which we believe would have the most impact on enhancing the platform and shareholders value over the long run. Then pending acquisition on Pinnacle is a result of our efforts in executing this strategy. Before opening the call to Q&A, I would like to point out a number of key items and highlights, which may have an impact on our 2018 results. Last quarter’s double-digit growth was partially due to the easier comparison to last year. Our management team has been and continues to execute programs that are focused on growing our inventory and pipeline. However, comparison to prior year’s quarters will progressively become more difficult, when considering a flat to moderately improved market. In addition, while our outlook on market activity is positive, the market is digesting the impact of higher interest rate, and as such, improvement in market sales will likely be gradual. Lastly, despite 2017 second quarter declines in our mid-market and larger transaction businesses of 10% and 16%, respectively, these market segments remain susceptible to meaningful variability from quarter-to-quarter. With that, I would like to now open up the call for Q&A. Operator?
Operator: Thanks. Ladies and gentlemen, we’ll now be conducting our Q&A session. [Operator Instructions] Our first question comes from the line of Pete Christiansen from Citibank. Please go ahead.
Peter Christiansen: Good evening, guys. Nice trends and congrats on a deal.
Hessam Nadji: Hi, Pete, thank you.
Martin Louie: Thank you.
Peter Christiansen: Hessam, I was wondering if you can just give us a sense of some of the terms of the deal and maybe potential contribution, I guess, or at least on an annual basis what kind of revenue or even profitability would be helpful as well that that Pinnacle has been doing?
Hessam Nadji: Pete, we’re not in position to disclose those kinds of details. But what I can tell you is that, the addition of Pinnacle is a very important addition to our services in an area, particularly our Cleveland office and number of other Midwest offices, where we don’t currently have MMCC representatives. So we’re bringing in very, very seasoned senior level partners of Pinnacle as a part of our team and their support staff and so on. We immediately add a very important service component for our clients and our investment sales teams. And so it is just almost immediately value-add, because currently we have no MMCC representation.
Peter Christiansen: So this feels you had buoyed [ph] in the Midwest, does this – do they have added capabilities that you currently don’t have it, you’re able to expand to other areas, other regions?
Hessam Nadji: Well, the advantage of Pinnacle was that they also have a servicing portfolio that’s been part of their business for a very long time. And they have longstanding relationships with life insurance companies and CMBS lenders, which MMCC typically has not done a lot of business with. So both of those advantages are definitely transferable to other opportunities across the company through our more senior existing loan originators. But I really want to emphasize that we run our businesses at a very local level and the driver of this transaction was primarily making sure that the team we have on the ground now has a world class financing origination capability. The ancillary benefits of been able to open up or the other advantages through servicing and other types of lenders to our other team is really secondary.
Peter Christiansen: Thanks and one more before I go back into the queue. I hate to put it on the spot, but we’ve been talking about capital return to shareholders for awhile here and I know that M&A is certainly your priority and that makes a ton of sense. What are the next pieces of a puzzle you think there are for MMI to come up with a decision or some type of framework as it relates to returning capital back to shareholders? Thank you.
Hessam Nadji: Sure Pete, see it’s really a process and that the variable since the last call that we held is that, we are seeing a transitioning M&A market environment. We’re seeing valuations become more reasonable and having been patient over the past several years, at the same time I’ve really expanded the company’s visibility and platform as a public company. There are lot of people out there that are more intrigued and more familiar with MMI than ever before. So there’s more interest and there’s, in our opinion, an evolving kind of an environment for M&A and the hoots is to really participate in that, and look at that window of opportunity first and foremost that’s why it’s our priority right now.
Peter Christiansen: Thanks guys, nice share gain.
Hessam Nadji: Thanks.
Operator: Thank you. Our next question comes from the line of Mitch Germain from JMP Securities. Please go ahead.
Mitch Germain: Thank you, and nice quarter.
Hessam Nadji: Hi, Mitch.
Mitch Germain: Hessam, just to that point, have you shelved or just postponed thoughts around a dividend or call it specialty advance?
Hessam Nadji: No, we’re evaluating it, it’s definitely an important topic of discussion. But from a priority perspective given the changes in the market environment that we’re seeing in last 60 days our focus really has been to look at the many opportunities and remains right now.
Mitch Germain: Great, that’s helpful. And I know that you’ve talked about total producers and changing your hiring methodologies and might have some fluctuations around the total number of producers maybe trimming some of the bottom 5% or so. Surprised to see as large a decline in the MMCC division, was there anything behind that? And is it really waiting for new leadership to grow or are you actively pursuing new producers there as well?
Hessam Nadji: Sure, Mitch. First of all, we’re waiting for nothing, the transition in terms of leadership and Bill Hughes is going into retirement, he is not slowing down any of our initiatives or focus on services at all, so I want to make that very, very clear. And it’s really nothing different than what would be messaging and the reconfiguration of our sales force. It takes longer to recruit experienced folks as I mentioned in my formal remarks. And so there’s been no change of direction or any surprise factor to that, only more of a focus on it. And we do expect that to start to stabilize in the coming quarters. But there’s going to be some noise in the numbers as we move forward.
Mitch Germain: Got you. Two more from me. Number one, are you seeing a narrowing based on the discussions you’re having a narrowing or a widening of the bid-ask spread?
Hessam Nadji: It’s pretty stable overall, obviously there’s a lot of variation by property type and by locations. It seems that there’s a kind of a dichotomy between a lot of positive forces, including the tax reform which is very positive for commercial real-estate, great fundamentals, ongoing rent growth and of course we now have the higher interest rates on the other side of the ledger. And those dynamics are just kind of working their way through, ending up with a pretty stable bid-ask spread, we haven’t really seen it coming or widen in the last quarter.
Mitch Germain: Got you. And last one from me. Just curious about some of the dialogue you’re having. I know that you guys – you’ve mentioned there’s a number of marketing events that you’ve been hosting, I’m curious about the dialogue and the sentiment across the private segment of your business or your core customer, as well as maybe just directionally how pipelines sit today? Thank you.
Hessam Nadji: Sure Mitch, the market sentiment, particularly in our private client core business has definitely improved in the last few months. There is hesitation in the marketplace because of this bid-ask spread. We have no distress in the marketplace, so our sellers don’t see a reason for unjustified price adjustments and buyers that are waiting for distressed pricing are very frustrated and going to remain very frustrated. But at the same time, realistic pricing there has been some movement in interest rates. There are reasons that pricing of the 2015, 2016 peaks are not justified in a number of situations. And when they’re adjusted, the product moves very quickly and we have multiple offers on those reasonably priced asset. The sentiment has improved. We haven’t really seen it translate into more transactions yet, but we anticipate that over the unfolding quarters it will.
Mitch Germain: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Stephen Sheldon from William Blair. Please go ahead.
Stephen Sheldon: Yes, hi, and I appreciate taking my questions. I guess first, just really strong production volume growth, particularly in mid and large markets. I know you had a new comp for larger transactions, but anything else to point through to grow the strong volume growth in those markets? And did you see that strength continue into April and early May?
Hessam Nadji: Hi Stephen, well, as we mentioned the improvement in the mid-market and larger transactions were large contributors of the first quarter results, but also let’s not forget that our core product line which makes up by far the largest portion of our revenues had a very healthy gain on a year-over-year basis. So that is a function of a lot of our activities, frankly mostly because of the added initiatives that we have taken over the past 12 to 18 months to increase our market share, increase our market coverage. On the larger and mid-market transactions, as a remainder, those are much more variable. We could have some large quarters and we could have some – no so large quarters or even declines from time to time. And a lot of those – I also want to be clear that the larger transactions aren’t necessarily just institutional transactions. A lot of our private clients are now in the $10 million to $20 million price range and $20 million and above price range. So it’s not limited to just institutions coming back to the marketplace more than they did a year ago. So it’s a combination of all those different factors. And as a reminder going forward, it’s a kind of growth that we’ve experienced in the first quarter will be a much more difficult comp because of our sequential improvement each quarter of last year.
Martin Louie: Hey, Stephen, this is Marty. Just to add on to that, just want to remind everyone that, if you look at the growth or the decline in the large transaction business in Q1 2017, it actually declined 40% year-over-year. So that kind of accounts for the large group this quarter.
Stephen Sheldon: Okay, I understood. And then on Pinnacle, it sounds like a net compliment to your financing business. And I know you’re not giving financial details on Pinnacle. But I believe you said, the company has type of like 17 employees. Any detail on how many kind of front-line financing professionals the acquisition [indiscernible] business?
Hessam Nadji: Sure. Sure, happy to share some of that with you. Pinnacle has a five mortgage originators and a very professional levels of work staff and great infrastructure and systems that Rich set out for their mortgage brokerage business, as well as their serviing business over the years.
Stephen Sheldon: Okay, that’s very helpful. And then I guess, in your view, do commercial real restate participants have the clarity basically on tax changes, to become more comfortable taking advantages of those changes during the near-term or do you still perceive a lot of uncertainty regarding interpretation?
Hessam Nadji: Well, there is a big contrast in the market environment right now versus throughout most of 2017 when the market place was waiting for tax reform. What it was going to look like? Echo [ph] was going to be favorable for real-estate or not and the broader economy. And the answers to those questions have been answered, it is very favorable for commercial real-estate. There is evidence that it’s starting to spur corporate investment, which is very good for commercial real-estate demand of all sorts and so from that perspective at the macro level has already been a positive, a sentiment mover. However, there are mechanical questions that a lot of our clients are still trying to get answers to, they want to transact, they want to set up partnerships, they want to set up different strategies to take advantage of the environment. But there is questions that the definition of pass-through entities or details of mortgage stability or exhorted depreciation. So there’s all mechanics that are still being worked through with answers coming, they are beginning to come is gradual and that’s they we believe it’s kind of a process before the real effect of this favorable tax package should it trickles through the market place.
Stephen Sheldon: Got it, thank you. I appreciate the color.
Operator: Thank you. Ladies and gentlemen, we have no further questions in queue at this time, I’d like to turn the floor back over to management for closing comments.
Hessam Nadji: Thank you operator, and thank you everyone for joining our first quarter call and we look forward to having you join us on our second quarter call in few months. Thanks a lot.
Operator: Thank you ladies and gentlemen, this does conclude our teleconference for today, you may now disconnect your lines at that time, thank you for your participation and have a wonderful day.